Operator: Thank you for standing by. Welcome to the 10X Genomics' Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Cassie Corneau, Senior Director, Investor Relations and Strategic Finance. You may begin.

Cassie Corneau: Thank you. And good afternoon, everyone. Earlier today, 10X Genomics released financial results for the third quarter ended September 30, 2025. If you have not received this news release or would like to be added to the Company's distribution list, please send an e-mail to investors@10xgenomics.com. An archived webcast of this call will be available on the Investor tab of the Company's website, 10xgenomics.com, for at least 45 days following this call. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated, and you should not place undue reliance on forward-looking statements. Additional information regarding these risks, uncertainties and factors that could cause results to differ appears in the press release 10X Genomics issued today and in the documents and reports filed by 10X Genomics from time to time with the Securities and Exchange Commission. 10X Genomics disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. Joining the call today are Serge Saxonov, our CEO and Co-Founder; and Adam Taich, our Chief Financial Officer. We will host a question-and-answer session after our prepared remarks. We ask analysts to please keep to one question so that we may accommodate everyone in the queue. With that, I will now turn the call over to Serge.

Serge Saxonov: Thanks, Cassie. And good afternoon, everyone. We exceeded the top end of our guidance range in the third quarter with total revenue of $149 million. Our team delivered a solid quarter, executing well in the midst of continuing macro challenges. Despite ongoing funding pressures and policy uncertainty, we saw sustained enthusiasm for our products with momentum in both single-cell and spatial. The positive trends we highlighted in the first half of the year continued this quarter. Spatial consumables had another robust quarter of double-digit year-over-year revenue growth, driven by continued strong demand for Xenium consumables. We again saw sustained growth in both the number of runs and the average spend per run. We frequently hear from customers how much they love Xenium, both for its exceptional performance and for the breadth of applications unlocked by the platform. Within single-cell, while consumable revenue was down year-over-year, we again saw double-digit Chromium consumables reaction growth year-over-year. Our Flex and On-Chip Multiplexing assays have been key drivers of this growth. Both of them deliver configurations with lower price per sample, which has been opening up new customers and new use cases for single-cell. On-Chip Multiplexing is particularly well suited for applications requiring fewer cells and for getting started with single-cell. Because of that, it has been great for bringing new customers into the ecosystem. Flex has many benefits and is becoming the default single-cell assay for many of our customers. It is also particularly well suited for translational studies and massively scaled experiments, which are 2 of the most promising directions for single-cell growth going forward. Finally, we ended the quarter with $482 million on the balance sheet, reflecting our ongoing commitment to cost management and cash generation. This strong position provides us with both the flexibility to navigate the current environment and the resources to strategically invest in innovation and long-term growth.

Serge Saxonov: We're staying extra close to our customers as they navigate persistent funding uncertainty. While the pace of news flow has moderated compared to earlier in the year, spending behavior remains cautious, particularly for capital expenditures. We expect these conditions to remain largely unchanged in the near term, and we will stay flexible in how we work with customers to support their ongoing research. While the macro environment remains challenging, we remain focused on advancing our innovation road map and driving greater adoption of our products. Our latest product launches and partnerships illustrate how we're executing on these priorities. Last week, we began shipping the next generation of Chromium Flex. As I mentioned earlier, our Flex assay is becoming the default single-cell assay for many of our customers. It combines exceptional sensitivity, robustness and scalability, all at a low cost. Our next-generation Flex further improves these qualities, and also enables streamlined automation-friendly plate-based workflows. The product represents a step change in scale, enabling massive perturbation screens and supporting AI-driven initiatives such as virtual cell modeling. We also developed and validated our scalable FFPE dissociation protocol, which scales easily to 96-well plates. The protocol improves efficiency and throughput for high-volume studies and strengthens the assay's value in large-scale translational research. Feedback from early access customers has been phenomenal, and we're eager to see how more researchers apply the new Flex across a wide range of studies.

Serge Saxonov: We were also excited to start shipping Xenium protein earlier in Q3. It is a powerful new addition to the Xenium platform that allows researchers to detect RNA and proteins in the same cell and on the same tissue section, all in a single, automated run. By reducing the need for separate workflows, technologies or tissue sections, Xenium protein simplifies experimental design and allows researchers to move more quickly from experiment to inside. As a first-of-its-kind capability, Xenium protein represents a major leap forward, enabling comprehensive, multimodal insights, streamlining workflows and accelerating translational discovery. We're also seeing an increasing number of customers use Xenium together with Chromium Flex. The combination of highly precise spatial measurements and robust whole transcriptome analysis provides a powerful approach for biomarker discovery in FFPE samples. This is a great example of the value that our portfolio strategy delivers to our customers.

Serge Saxonov: Now stepping back, the landscape of spatial biology has evolved significantly over the past few years. In its early days, there is broad uncertainty across the field about which applications would be best served by sequencing-based methods like Visium and which by imaging-based approaches like Xenium. Now that Xenium has been in the hands of researchers for some amount of time, that picture is becoming more clear. We now see a strong and growing preference for image-based analysis. This is a reflection of both, how well Xenium works and the abundance of insights that scientists are gaining from using the platform. Based on customer feedback and the results we are seeing in the field, we increasingly see Xenium as the best solution for most of researchers' spatial needs.

Serge Saxonov: In addition to advancing our product road map, we're focused on unlocking the full potential of our current products by removing barriers to adoption and driving broader access. Data analysis has long been one of the biggest bottlenecks in single-cell and spatial research. Our recent partnership with Anthropic helps address this issue and makes analysis more accessible by integrating it with Claude for Life Sciences. With Claude, researchers can now perform common analytical tasks through a conversational interface that complements our existing applicational workflows. This intuitive approach makes it faster and easier for researchers to engage directly with their data. We believe this partnership is the first step towards addressing the analysis bottleneck to make our technologies more accessible to an ever-broader community of scientists.

Serge Saxonov: While single-cell and spatial have been a transformative engine for scientific discovery, going forward, we believe there is an especially large and growing opportunity in translational research and ultimately in clinical applications. A great example of this is our recent collaboration with CLISEQ and the Weizmann Institute on the PERIBLOOD clinical trial. Using Chromium to profile thousands of individual cells from blood samples, this new study built on a groundbreaking discovery recently published in Nature Medicine, where CLISEQ and Weizmann researchers identified a unique, circulating cell signature capable of detecting hematologic disorders with remarkable accuracy. Their clinical trials use a single-cell to validate, refine and amplify the proof-of-concept, uncovering molecular signals that traditional blood tests may miss and determining whether bone marrow biology can be accurately assessed through circulating cells. This work represents a promising step towards more accessible and less invasive diagnostics and improving clinical decision-making.

Serge Saxonov: Finally, we are continuing to see increasing momentum around virtual cell efforts and large perturbation studies. Described as a holy grail of science, the virtual cell is an AI model trained on massive amounts of data meant to simulate the workings of individual cells. Multiple groups are now generating large-scale, 10X single-cell data to train algorithms as initial steps towards the virtual cell vision. There are strong reasons to expect that scaling of data will result in vastly more capable models as it has in just about every other application of artificial intelligence. These models hold the promise of transforming science, drug discovery and ultimately, human health. We believe that virtual cell efforts represent one of the most important trends in biology in the coming years. And we anticipate that our technologies will keep powering these efforts as they keep scaling by orders of magnitude.

Serge Saxonov: The strong resonance of our innovations with customers and the expansion of our tools into translational research and large-scale experiments reinforces our conviction in the foundational role of single-cell and spatial in advancing science and health. We firmly believe that this is still very early days for our technologies. With that, I'll turn the call over to Adam to review the financials.

Adam Taich: Thank you, Serge. I'll start by reviewing our financial results for the 3 months ended September 30, 2025, and then we'll provide further details on our outlook for the fourth quarter. All figures and growth rates provided will be on a year-over-year basis, unless otherwise noted. As Serge mentioned, we exceeded the top end of our guidance range and total revenue for the third quarter was $149 million. This was down 2% year-over-year and up 2% sequentially, excluding onetime license and royalty revenue in the second quarter. As anticipated, revenue from scale was not material and accounted for less than $1 million.

Adam Taich: Total consumables revenue was $127.9 million, up 1% Chromium consumables revenue was $92.5 million, down 4%, primarily driven by lower average selling prices. Spatial consumables revenue was $35.4 million, up 19%, primarily driven by Xenium consumables revenue. Moving on to instruments. Total instrument revenue was $12 million, down 37%. Chromium instrument revenue was $4.9 million, down 36%. And spatial instrument revenue was $7.1 million, down 38%, both driven primarily by lower average selling prices.

Adam Taich: Services revenue was $8.1 million, up 29%, primarily due to an increase in Xenium service plans. Looking at our revenue by geography. Americas revenue was $79.9 million, down 9% from the prior year, driven by continued uncertainty in the U.S. academic and government funding environment. Excluding settlement impacts from Q2, Americas was up 1% sequentially. EMEA revenue was $41.6 million, up 10% from the prior year and up 20% sequentially, primarily driven by strong spatial consumables performance. APAC revenue was $27.5 million, up 6% year-over-year and down 14% sequentially due to the previously mentioned Q2 customer-driven pull forward in China.

Adam Taich: Turning to the rest of the income statement. Gross profit for the third quarter was $100.3 million compared to $106.4 million for the prior year period. Gross margin decreased to 67% from 70% in the prior year, primarily driven by changes in product mix and higher inventory write-downs, partially offset by lower royalties and lower warranty costs. Total operating expenses for the third quarter decreased to $132.5 million compared to $147.9 million for the prior year period, driven by lower personnel expenses and lower outside legal expenses. Operating loss for the third quarter was $32.2 million, compared to an operating loss of $41.5 million in the third quarter of last year. Net loss for the period was $27.5 million, compared to a net loss of $35.8 million for the third quarter of last year. We ended the quarter with $482 million in cash, cash equivalents and marketable securities, up $35 million from the prior quarter.

Adam Taich: Turning to our outlook for the fourth quarter. We anticipate revenue to be in the range of $154 million to $158 million, representing 5% growth compared to Q3 at the midpoint. This outlook reflects the continuation of the key positive drivers of performance that we've seen throughout this year. We do not anticipate a material change in customer purchasing behavior and do not anticipate the year-end budget acceleration we have previously experienced in the fourth quarter. Our balance sheet remains strong, providing the flexibility to invest in innovation, advance our strategic initiatives and support long-term growth. We believe we are confident in our ability to execute with discipline and agility as market conditions evolve, and we remain focused on creating durable value for our customers and shareholders. With that, I'll turn the call back to Serge.

Serge Saxonov: Thanks, Adam. Before we open the line for questions, I'd like to take a moment to thank the entire 10X team. This year has been incredibly tough for our customers. For that reason, it has also been really challenging for our team. Yet you have worked relentlessly through the challenges, keeping focus on our customers and on advancing our mission. When I reflect back on the history of our company, going back to the earliest garage days, the periods of greatest value creation often coincided with the lowest external valuations. This feels very much like one of those moments. Through your efforts, we have forged increasingly powerful bonds with our customers, advanced our road map and made tons of progress improving our internal capabilities. We're executing from a position of strength with an unmatched innovation engine, expanding adoption and a strong balance sheet that gives us the flexibility to invest for the long term. I've been proud of what we've achieved and confident that our best work and our greatest impact lie ahead. With that, we will now open it up for questions. Operator?

Operator: [Operator Instructions] With that, your first question comes from the line of Doug Schenkel with Wolfe Research.

Madeline Mollman: This is Madeline Mollman on for Doug. The guide calls for a 5% sequential pickup. Can you walk through how much of that is expected to come from instruments versus consumables, especially given you're not assuming a year-end budget flush? And then what assumptions are built into the Q4 guide regarding the government shutdown? Finally, what does this mean for 2026, given the quarter-over-quarter improvement, it seems like you should be able to grow in 2026 adjusted for the royalties payments. Is that the right way to think about things?

Adam Taich: So I think as it relates to instruments versus consumables, we're not anticipating a big year-end budget flush, but I would anticipate potentially a little bit more of an uptick on the instrument side in Q4. So if we just sort of think about that mix between consumables and instruments, it could be a little bit higher on the instrumentation side in Q4 versus what we saw in Q3. We factored the government shutdown into our guide. So to the extent that, that does last to the end of this year as it relates to our Q4 guidance, that's incorporated. As a reminder, from an intramural perspective, NIH Intramural is a fairly low percent of our total overall business. Serge, do you want to take the second part of the question?

Serge Saxonov: Yes, 2026, so fundamentally, it's too early for us to really talk about 2026. Obviously, we're seeing great trends in the business right now. But there's also a lot of just fundamental uncertainty in the macro environment. Visibility among our customers is quite limited, and there is a lot of uncertainty still around the policy environment. So we're not giving a guide. Big picture-wise, at this stage, we anticipate the first half of 2026 should look similar to the second half of 2025. And we'll take it from there.

Operator: The next question comes from the line of Puneet Souda with Leerink Partners.

Puneet Souda: So first one is really on the spatial side. Just wanted to get a sense on how should we think about that in the fourth quarter and then potentially, especially the consumables into 2026. You came in flat to slightly down in the third quarter. So I just wanted to clarify on the consumable side there. And then Serge, when we think about the GEM-X the Flex v2 product that you're launching here, I just want to clarify, you have a barcode oligo hybridization step that is built into it that does give significant flexibility, both in terms of the number of samples that can be run and then the ability to run partial plates as well. So when we think about customers doing lesser batching and the price per sample, which seems to be now in the sub-$300 range versus the $1,000 before, how should we think about the medium- to near-term impact? I mean I appreciate longer term, this is going to be an elasticity of demand that could play out here, but in the near to medium term, why should this not impact the revenue growth? And please let me know if any of my assumptions are wrong there.

Serge Saxonov: Yes, Puneet. So maybe on the spatial consumables side, first, one thing that I would just point out about this quarter is that you may remember, we had a pull forward in Asia of spatial consumables into Q2 from Q3. And so if you kind of normalize for that, we actually had a nice, sequential step-up in Q3. And as I mentioned, the spatial has been doing quite well. Spatial consumables have been doing well, and we anticipate that to continue. All the trends are pointing generally like well in that direction. As far as the question on Flex v2, I mean those are definitely astute observations around how the product works and the fact that it gives a lot of flexibility to our customers. Maybe like a little bit of a step back just in terms of our overall general strategy here is merited. We started talking about it some time ago about the fact that there is a huge elasticity potential in this market in single-cell. And we started lowering our prices, for example, in a very kind of careful staged manner, starting with the GEM-X introduction about 1.5 years ago. And since then, with the introduction of new products like on-chip multiplexing, like the first iteration of GEM-X Flex about a year ago, kind of opening up new use cases, new configurations to drive more volume at lower prices. And what we have seen is consistently over that time, the volume growth has been stepping up, as we've been expanding and very much in resonance with the strategy that we have put out there. So the numbers line up with the strategy, the feedback of customers also lines up with our strategy in terms of new use cases opening up, new configurations and people running more single-cell than they were doing before. And the launch of the next generation of Flex now also is part of that overarching strategy, where we're delivering new configurations into the marketplace to a large extent where it needs to be particularly impactful is enabling people to learn larger experiments and it's really at these sorts of large experiments if you do get to lower per sample and per cell prices. And we want to be careful in the sense that the product, this new Flex doesn't have exactly the same sort of configurations that the previous versions did. But overall, if you compare kind of an average, probably there is a 20% to 30% drop in the average reaction price. And we do anticipate that this will be more than made up in volume, especially over time. And that would be consistent again with the feedback that we've been hearing from customers and with the metrics we've been tracking internally over the course of the past 1.5 years.

Operator: The next question comes from the line of Dan Arias with Stifel.

Daniel Arias: I'll ask one since that's what you asked for. I wanted to ask a follow-up question on spatial consumables, though. Serge, can you just maybe add some color to the contributions from Xenium and Visium? I know you don't like talking about per system pull-through, but it is a tough modeling exercise for spatial just given the 2 product lines. So is there anything you can kind of shed light on when it comes to user dynamics per box, if possible? Anything there would be helpful just when it comes to keeping our model straight to these 2 product lines here.

Serge Saxonov: Yes, Dan, thanks for the question. So as I was alluding to kind of in my prepared remarks, spatial in general has been like a very dynamic field. And there is also kind of this broad uncertainty around how the application the space is going to play out relative to our platforms and relative to our products, especially between Visium and Xenium. And one of the things that I make sure to emphasize earlier is that we're seeing more and more enthusiasm for Xenium in particular and kind of very consistent increase in usage of the platform and not just the broad usage, although we're seeing that in the consumable numbers, pretty consistent uptick, but also on a per instrument basis. We haven't shared pull-throughs and it's still quite a dynamic kind of environment for us to be able to do that. But it has been trending consistently in the right direction. And also like I said, along sort of both the vector of more runs and also price per run. And also back to my earlier point, in general, the trend has been more towards Xenium relative to Visium and more different products.

Operator: And the next question comes from the line of Kyle Mikson with Canaccord.

Kyle Mikson: Congrats on the quarter and the acquisition. Congrats again, on Scale as well. Just to follow up on Dan's question about the acquisition. Sounds good about the -- your perspective why you did it. But is this deal like of an instrument-free solution kind of an admission that the Droplet-based architecture is not capable of scaling enough to address the needs of future single cell projects, large projects? And then secondly, when -- I mean, when will this contribution from Scale these products become more material? Could that become like a dominant technology in your portfolio over time?

Serge Saxonov: So like first of all, on the -- on your first question, like I would say not at all. Like we have really strong -- when it comes to instruments, we have really strong conviction that there is a huge value to having an instrument in a workflow. It affords really high precision, really great workflow, great quality of data robustness, all these things that customers love our products for. So -- and when you look to see what has been actually happening in the market, the instruments have not been at all a barrier for single cell. And we believe the big value here is actually integrating the technologies with our portfolio. The technologies are highly complementary, and it will allow us to push certainly the Scale technology and the innovations there will allow us to push scaling and the Doral technology further ahead. I would say as far as kind of the revenue impact, the near-term revenue impact is going to be minimal. And really, the kind of the overall vision here is integration of these capabilities into the broader portfolio.

Operator: Your next question comes from the line of Doug Schenkel with Wolfe Research.

Madeline Mollman: This is Madeline Mollman on for Doug. Single cell consumables revenue was down in the quarter, but reactions were up. Can you give us any color on how you're thinking about the pricing headwind related to the new lower-cost product road map that you rolled out? And how long you think it will take you to work through that? And then could incorporating the Scale technology into the 10x portfolio exacerbate this?

Serge Saxonov: Yes. So thanks, Madeline. So let me maybe just kind of to zoom out a little bit and give context for the product transitions because we have multiple going on, on the Chromium side. First of all, there is a transition from a Next-GEM architecture to GEM-X, and that's well on its way. By the end of the year, we should be just about finished with that. And that's been going well. Customers are responding really well to GEM-X and all the great benefits from that architecture. We also have other products that we launched last year that around Flex and around on-chip multiplexing, which has multiple kind of dynamics kind of operating there. Many are opening up new use cases and new customers. So that's obviously accretive. For sure, some customers are converting from kind of higher-priced products to these new solutions. And some customers will never convert because they need the features in the other products. And so we do see those dynamics kind of playing out kind of in concert. And fundamentally, we believe that lower prices, like I've always said, lead to higher volumes, and there's tremendous amount of elasticity here in this market, in these fields, but this happens with a time lag. And overall, kind of high level, the price per reaction needs to be in the hundred of dollars rather than thousands to really kind of unlock a lot more experiments and a lot more samples. And that is what we're seeing. I would say that in general, the trends we're seeing are fundamentally encouraging, seeing the growth in reaction volumes. And that is especially given the challenges in the macro environment. And I would also say because of the challenges in the macro environment, actually getting to a net positive revenue net growth would take longer than it might otherwise have in the absence of those challenges. But overall, the fundamental trends are positive, and we do expect this to drive more growth, both ultimately in reaction and revenue.

Operator: Your next question comes from the line of Mason Carrico with Stephens Inc.

Mason Carrico: Could you talk about the maturity or ramp of the Xenium sales force in Europe? How have you seen the sales funnel and conversion rates of new opportunities evolve over the course of 2025 now that, that team is in place?

Serge Saxonov: Yes, Jason. Yes, good question. So the team is fully in place. We had a number of people joined most recently. I would say it's kind of all of our commercial kind of reorganization. The Xenium CapEx team was sort of the last piece to pull in place, specifically in Europe. But now we have everyone in place and the people who are -- who signed up, who joined recently are ramping up nicely. What we're seeing as far as kind of execution has been -- certainly, it's been a big improvement relative to what we have seen before because of the focus, because of the expertise we now have in the company. The funnel management, the opportunity management have all been great, but all of this is happening on the background of a much more challenging CapEx environment. And so the way -- like what is -- what we end up seeing is that we are adding consistently more and more opportunities to the funnel, but the opportunities are taking longer and longer to close. And by and large, where they get stuck is funding and kind of in various configurations of funding challenges, whether the customer is just having more restrictions on funding that they thought they had or they need to find more funding than they would have maybe previously or there's just more scrutiny on these budgets. So I would say that's how sort of this dynamic is playing out. Again, we see both better kind of execution now that we have this focused team in place. And also, we are seeing continuous enthusiasm for the platform itself, what customers are doing, the feedback we're getting. So that -- those factors fundamentally make us quite optimistic, especially for -- as we kind of work ourselves through this environment and for setting us up really well for when we get through these macro challenges and get to the other side of it.

Operator: Your next question comes from the line of Dan Brennan with TD Cowen.

Kyle Boucher: This is Kyle on for Dan. I just want to ask about China and sort of what you're seeing there. I know you had some pull forward in the second quarter that you just talked about earlier. But I think year-over-year, you still grew a little bit in China off of not an easy comp, but I guess what are you seeing over in China?

Serge Saxonov: Yes, I mean it's a good question. So just to kind of step back a little bit, you may remember that we made a number of changes to kind of our go-to-market in China a couple of years ago after a number of challenges that we faced there. And that has yielded great benefits. We have a great team, great organization, great relationship with the distributors and partners over there, which has increased both visibility and execution in that region. And so you're seeing some of the outcomes of that. We're also seeing quite good and robust demand on the ground for our products there as well. So that has also been quite gratifying to see. Overall, of course, China has very different dynamics from the rest of the world. And so we have to be cautious about long-term visibility there. But overall, right now, like we're certainly seeing good business and good progress in the region.

Operator: Your next question comes from the line of Tycho Peterson with Jefferies.

Lauren Timmins: This is Lauren on for Tycho. Congrats on the quarter. On the Xenium, could you maybe elaborate a little bit more on kind of early adoption trends for Xenium protein and kind of how these multiomic workflows are resonating with customers? And kind of maybe which end markets are you seeing the strongest demand? And then in terms of kind of differentiation, there's other competitors kind of talking about spatial offerings and kind of what do you think about that in terms of differentiation for Xenium? And then lastly, just on single-cell consumables that were down, what do you think is needed kind of going into the end of the year into 2026 to see recovery for single-cell?

Serge Saxonov: So let me start there with the protein product. So that is something that obviously has been a big trend. I talked about this earlier in my prepared remarks, kind of the whole notion of multiomics and being able to measure multiple analytes from the same sample, from the same cell, from the same section, tissue section. And I want to kind of emphasize the fact that this is the first product of its kind that can measure both proteins and RNA expression from the same exact section, using the same integrated workflow. And that is something that our customers have been asking for and have been very excited to receive. So the initial feedback has been very positive. Like people really appreciate they really like this capability. Early days, so I don't want to say any more on that point, but definitely very promising. And I think this is just kind of the first step -- along a very promising direction. I also would say that there is tremendous differentiation that Xenium has relative to other products in the market. And we've talked about that before just based on the fundamentals of the technology, based on the workflow, based on the data that we've been seeing coming back, and it's not been reflected very consistently with customer feedback. All kinds of benchmarks that people have run that consistently put Xenium on top. You see that in the numbers. We see that in also competitive situations out there like with our team is consistently winning in the marketplace. Xenium really stands out as a platform. And as far as the other question on single-cell consumables, overall, we are really happy with the progress of reaction growth, volume growth. Obviously, there are some pricing headwinds that I talked about earlier in terms of kind of new product introductions that are introducing lower price point configurations. And also, obviously, we can't forget the macro headwinds, especially when you're looking at year-over-year compares. But if you look sequentially, there has been a really, nice and robust step-up in both in reaction volumes and in overall revenue for single-cell consumables. I think that's a very promising sign, and we do expect these trends to continue.

Operator: And the next question comes from the line of Lu Li with UBS.

Lu Li: I wanted to go back to the spatial. You mentioned that the scientists increasingly prefer Xenium over Visium. I wonder, can you talk a little bit about your kind of more math for Visium going forward? And then second question, you also mentioned that people are starting to using more like flash with the Xenium together, I wonder, can you quantify a little bit in terms of like what percentage of your customers are using the 2 products at the same time?

Serge Saxonov: I mean in terms of the second question, it's too early to make quantifications. I certainly hear that [ traveling ] in the field, especially customers, translational customers that have FFPE samples that they want to be analyzing and they want to have the most comprehensive possible analysis of those samples. And the 2 products together, the Flex together with Xenium, provides kind of the best, most comprehensive analysis. You get the whole transcriptome single-cell-based analysis using Flex and then you have this really precise detailed spatial analysis from Xenium. And we see that as still very early in that trend, but it's a consistent theme that I've now heard pretty consistent across multiple customers. And we do expect kind of back to your first question, the sort of trend of people really converging and being enthusiastic about Xenium. Again, if anything, this is just kind of the beginning of this trajectory. We see this happening more and more as, again, researchers kind of talk to each other, where it becomes more and more clear across different applications, across different publications, just how well Xenium works and how quickly you can get from their samples to insights.

Operator: And the next question comes from the line of Michael Ryskin with Bank of America.

Michael Ryskin: You talked earlier about some of the academic and government trends in end of year budget flush. I want to dig a little bit more on pharma behavior, what you're seeing there as you're going into the end of the year. There is a lot of concern on some budget constraints and just some cautious spending. Just wondering if you noticed any change on that in the last couple of months and if you're getting just any more fruitful conversations with pharma customers.

Serge Saxonov: Pharma has been kind of a challenging segment. We're very happy to have the full biopharma team in place, which, again, we made those changes last year. It has been very helpful to have focused teams, especially in this kind of environment. The macro has been challenging. There's like just fundamental uncertainty around kind of long-term questions for pharma where to invest because of various policy questions. And especially of uncertainty for them investing in early discovery, early-stage research, which is where our products have been traditionally focused on. It's a little too hard to tell precisely how like the rest of the quarter is going to play out. There is definitely some areas of positive trends that we're seeing, but also plenty of reasons to be cautious as well. Kind of in the longer term, we do see a lot of promise. As I mentioned earlier, there's tons of interest in kind of running very large-scale experiments for kind of AI-driven applications for target discovery, very large kind of screening campaigns using single-cell. So a big trend, still very early in that and very promising. And then we're also seeing a lot of promise kind of moving downstream in the drug development process into translational applications, especially given our product set now with Flex and with Xenium, seeing a lot of potential there as well. We'll see how sort of the rest of the quarter plays out. We're in a period of a lot of uncertainty at this point still.

Operator: And the next question comes from Justin Bowers with Deutsche Bank.

Justin Bowers: Serge, what's your latest thinking on the elasticity of Chromium, especially with the launch of the recent Flex assay? Have the curves crossed? And in other words, absent the near-term macro headwinds, what type of growth are we thinking about for single-cell in the interim?

Serge Saxonov: Yes, good question. And kind of like as I talked about earlier, we have been consistently encouraged by volume growth and how consistent it has been with our strategy. We had several elements of what we embarked on with our product launches, starting about 1.5 years with the launch of GEM-X at a lower price point per sample compared to the previous architecture and Next GEM. And that has been kind of proceeding through the conversion throughout our customer base to the point where by the end of this year, we should be largely finished with that conversion. And then, of course, to launch new products, last year as well and also started shipping the new version of Flex. So on multiplexing, which kind of opens up new use cases, new customers, Flex opens up also new use cases, large configurations, more usage, high sell volume kind of use cases. So we do anticipate that we have seen that more and more volume growth. We do also see some conversion of current users, which creates headwinds on price. And at this stage, it's probably too early to tell where the sort of steady state of new products is relative to kind of our previous existing products. It's been a pretty steady clip at which new products have been entering their market. And we've been very happy with the progress there and the volume growth, especially.

Operator: The next question comes from Patrick Donnelly with Citi.

Unknown Analyst: This is Brendan on for Patrick. Congrats on the quarter. I know you guys aren't giving '26 guidance until the next call, but I want to touch on the first half of '26. Given kind of line of sight into the order funnel and visibility, is the first half of '26 kind of looking like the first half of 2025 kind of in that mid-single-digit decline area and similar revenue levels when excluding royalties? And then just to touch on the government shutdown further, can you mind breaking out exactly what you guys have factored in for the fourth quarter?

Serge Saxonov: So maybe on the government shutdown, as Adam mentioned, it's factored into our guide for the quarter. The way to think about it is that at this stage, for Q4, really the only material effect is likely to be on intramural NIH, which is a very small fraction of our business for this quarter. The rest of the business is able to proceed independent of the shutdown, where things start to get potentially more challenging to predict if it sustains sort of the funding trends into 2026. And this is where we are certainly refraining from giving guidance on 2026 or how it's going to play out at this stage.

Operator: The next question comes from the line of Casey Woodring with JPMorgan.

Jaden Rismay: This is Jaden on for Casey. Could you just touch on what impact we can see as NextGen's end of life this year-end as customers make that transition over and may take more time to validate an assay or incorporate it into an existing new project? And what does the time line usually look like for customers before they ramp to GEM-X? And what near-term impact that might have on the P&L, given the lower cost and anticipated ramp in volume?

Serge Saxonov: So I mean I think on the specific question of NextGen to GEM-X transition, at this point, there is not much left for the customer base to transition. We've given people end-of-life notices. And so people have been kind of running experiments with that in mind. And we anticipate the bulk of the effect or sort of the effect on the P&L on the top line has already -- we've already gone through it at this point. So what is left is pretty marginal.

Operator: The next question comes from the line of Subbu Nambi with Guggenheim.

Thomas VonDerVellen: This is Thomas on for Subbu. On Chromium instrument discounts, you mentioned they'll be temporary through the macro uncertainty. But do you anticipate any resistance from customers in purchasing when you return to normalized higher pricing? Or if you can confirm if you'll choose to keep Chromium ASPs at these levels longer term?

Serge Saxonov: It's a good question. Like we've said before, we have been intentionally very flexible with customers in terms of giving them creative deals and discounts when it makes sense through various products or different payment structures depending on their constraints, and there have been a lot of different kinds of constraints that customers have faced over the course of this past year. Our view is that the situation has been so peculiar and so unique in a lot of instances that it really doesn't necessarily translate sort of the patterns and the deals that we've given customers really shouldn't set much of a precedent as we transition to more stable and more normal times.

Operator: And the last question comes from Mason Carrico with Stephens.

Benjamin Mee: This is Ben on for Mason. Could you give us some insight into Xenium's 5K panel adoption? How much of a tailwind has this been to Xenium consumable growth this year? And how much of that growth has just come from the higher pricing there?

Serge Saxonov: Yes, Ben, good question. So like I said earlier, Xenium consumables have been growing and growing both on -- in terms of the number of runs per instrument and also price per run. And a large part of that increased price per run is precisely what you're referring to here, which is the adoption of the 5K panel. It's been going great. We're very happy with it, and we do expect it to be a good, great driver of our business going forward.

Operator: And this does conclude our question-and-answer session. I would like to thank our speakers for today's presentation. And we thank you all for joining. This now concludes today's conference call. You may now disconnect.